Operator: Ladies and gentlemen, welcome to the Hormel Foods third quarter earnings conference call on the 20th of August, 2009. (Operator Instructions) I will now hand the conference over to Mr. Kevin Jones. Please go ahead sir.
Kevin Jones: Thank you. Good morning everyone. Welcome to the Hormel Foods conference call for the third quarter of fiscal 2009. We released our results this morning before the market opened around 6:30 AM Central Time. If you did not receive a copy of the release you can find it on our website at www.hormelfoods.com under the Investors section. On our call today is Jeff Ettinger, Chairman of the Board, President and Chief Executive Officer and Jody Feragen, Senior Vice President and Chief Financial Officer. Jeff will provide a review of the operating results for the quarter and an outlook for the remainder of the fiscal year. Then Jody will provide detailed financial results for the quarter. The line will then be opened for questions following Jody’s remarks. An audio replay of this call will be available beginning at 10:30 AM Central Time today, August 20, 2009. The dial in number is 800-406-7325 and the access code is 4114856. It will also be posted to our website and archived for one year. Before we get started with the results of the quarter I need to reference the Safe Harbor statement. Some of the comments made today will be forward-looking and are made under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those expressed in or implied by the statements we will be making. Among the factors that may affect the operating results of the company are fluctuations in the cost and availability of raw materials and market conditions for finished products. Please refer to pages 27 through 33 in the company’s 10-Q for the quarter ended April 26, 2009 for more details. It can be accessed on our website. Now I’ll turn the call over to Jeff.
Jeffrey M. Ettinger: Good morning everyone. We were able to build on the momentum of our positive second quarter with an excellent third quarter. Earnings per share for Q3 increased to $0.57, up a substantial 50% from a year ago, led by strong performances from all three of our largest business segments. Company wide sales were down 6% from a year ago. Part of the decline resulted from our intentional reduction of turkeys at our Jennie-O Turkey Store operation, the loss of Carapelli sales, some intentional product rationalization, lower prices on commodity products and then lastly the changing consumer behavior in a weak economy. Despite the lower overall number, we did experience strong sales in several of our core consumer franchises which I will detail later. I’ll now take you through each segment. Our Grocery Products segment reported a segment profit increase of 11% for the third quarter. Given the strong quarter we had in grocery products a year ago, also up 11%, we feel this is an impressive result. Double digit increases in sales of our Spam family of products and Hormel Chili were key drivers for grocery products. Sales of Herdez Mexican products were also strong during the quarter. On the other hand, sales of our Compleats Microwave Meals softened again as we were unable to sustain the sales growth we started in the second quarter. All told, dollar sales decreased by 6% for Grocery Products, but this is in large part because of the discontinuance of sales of Carapelli Olive Oil. Excluding those sales, sales would have been flat for the quarter. Our Refrigerated Foods segment reported operating profit up an impressive 60% despite weak cut out margins during much of the quarter. This segment did benefit from significantly reduced input costs for many key raw materials versus a year ago as a result in the change of export markets. Our meat products group sustained much of the momentum they had from the previous quarter, with double digit sales increases for Hormel Pepperoni, Hormel Party Trays, Di Lusso deli products and Natural Choice Lunch Meats leading the way. Total dollar sales for refrigerated foods were down 5% in Q3. Food service sales remained particularly soft as the trend of eating more meals at home and decreased travel continued to take their toll on that sub-segment. Our Jennie-O Turkey segment reported a substantial operating profit increase of 97%, albeit against weak comparisons from a year ago. Lower feed expenditures due to our planned cuts in turkey production and a decrease in costs per ton was again the primary driver of this improved profitability. This tightening of production has allowed us to avoid generating surplus breast meat, which would have been sold at a loss under current market conditions. Total dollar sales for Jennie-O Turkey Store decreased by 5% and value added product sales also decreased slightly for the quarter as a result of changing consumer behavior and competitive pressures. The Specialty Foods segment reported a substantial decrease in sales of 13%, down 15% excluding acquisitions, while operating profit was down a more modest 2%. We once again experienced weak sales by our Century Foods subsidiary in the areas of nutritional and ready-to-drink products. Conversely, our Diamond Crystal brands unit achieved increased sales of its nutritional products and the specialty products group saw growth in its sales of private label canned meat items. Our All Other segment consisting primarily of our Hormel Foods international business reported decreased dollar sales of 10% and operating profit was down 19%. Publicity regarding the H1N1 virus caused export sales of our fresh pork items to decline. This unit was also faced with currency challenges. Overall I’m very pleased with our third quarter results as we delivered excellent earnings growth from a balanced array of our major business areas. We would have liked to have seen greater overall strength on the top line, but the trends on many of our important branded franchises remain positive. We also expect to deliver another significant increase in earnings per share during the fourth quarter. At the segment operating level we anticipate positive comparisons for the quarter, but not up as much as the third quarter. This also anticipates a favorable comparison with last year’s rabbi trust performance. Given all of these factors and based on our positive results for this quarter, we expect full year results for fiscal 2009 to remain in the recently announced guidance range of $2.36 to $2.42 per share. At this time I will turn the call over to Jody Feragen to discuss the financial information relating to the third quarter.
Jody H. Feragen: Thank you, Jeff. Good morning everyone. Earnings for the fiscal 2009 third quarter totaled $77.2 million or $0.57 per share compared to $51.9 million or $0.38 per share a year ago. Earnings for the nine months of fiscal 2009 totaled $239 million or $1.76 per share compared to $218 million or $1.58 per share a year ago. Dollar sales for the third quarter totaled $1.6 billion compared to $1.7 billion last year, a 6% decrease. Year-to-date in 2009, dollar sales were $4.9 billion, flat with last year. Volume for the third quarter was 1.1 billion pounds, down 4% from fiscal 2008. Acquisitions added 4 million pounds for the quarter. Year-to-date volume was 3.4 billion pounds, down 2% from fiscal 2008. Acquisitions added 16 million pounds to the first nine months of the year. Selling, general and administrative expenses in the third quarter were 9% of sales compared to 8% last year. Year-to-date our SG&A expenses were 9% of sales for both years. We expect SG&A expenses to be approximately 9% of sales for the fourth quarter. Advertising expenses were 1.6% of sales for the quarter compared to 1.5% in 2008. Year-to-date advertising expenses are 1.5% of sales compared to 1.6% in fiscal 2008. We now expect advertising expenses for fiscal 2009 to be slightly lower than our 2008 expense. Interest and investment income was $6 million for the third quarter compared to a loss of $6 million in fiscal 2008. Favorable market returns on our rabbi trust investments during this quarter drove the year-over-year improvement. We have begun to transition the majority of this portfolio to more fixed returns investments to help limit our exposure to the volatile equity market. Interest expense for the quarter was $7 million, down slightly from last year. Year-to-date interest expense is $21 million, flat with last year. We expect interest expense to be approximately $28 to $29 million for the full year. Our effective tax rate in the third quarter was 34.6% versus 35.2% in fiscal 2008. The year-to-date effective tax rate is 34.9% compared to 36.1% last year. We expect the effective tax rate for fiscal 2009 to be around 36%. The basic weighted number of shares outstanding for the third quarter and first nine months of the year was 134 million. The diluted weighted average number of shares outstanding for the third quarter was 136 million shares and 135 million shares year-to-date. We repurchased 107,000 shares of common stock during the third quarter and we have 1.8 million shares remaining to be repurchased from the 10 million share authorization in place. Depreciation and amortization for the quarter was $32 million compared to $31 million last year. For the first nine months of the year, depreciation and amortization was $94 million compared to $95 million last year. We expect the full year to be approximately $125 to $130 million. Total long term debt at the end of the quarter was $350 million. We ended the quarter with $60 million outstanding on our short term line of credit which has subsequently been repaid. Cash flow from operations improved over 2008 as we continue to emphasize initiatives to reduce our working capital. During the quarter we made a $55 million contribution to our pension plan. Our plan, like others in the industry, were impacted by the severe downturn in the financial markets and this contribution will help restore our funded status. We do expect to have substantially higher pension expenses going forward. Capital expenditures for the quarter totaled $25 million compared to $28 million last year. For the first nine months of the year capital expenditures totaled $71 million compared to $96 million last year. For 2009 we expect capital expenditures to be about $100 million. At this time I will turn the call over to the operator for the question-and-answer portion of the call. Operator?
Operator: Thank you, madam. (Operator Instructions) Your first question comes from Farha Aslam - Stephens Inc.
Farha Aslam - Stephens Inc.: Going forward, Jeff, with the Mexican JV in grocery products, how much top line do you think that’s going to reduce next year?
Jeffrey M. Ettinger: I mean it obviously doesn’t take effect until next fiscal year. The top line for MegaMex by itself will actually increase because that will all get registered business. We’re the selling agent. For the division overall, there is somewhat of a washout effect ultimately of the Carapelli lost sales that we’ve cited during this quarter. That’ll only go for a couple more quarters. One of the things to watch out for though, and we’ll give you some guidance when we hit it next quarter would be the net operating profit since it’s a shared venture will be somewhat lower on a percentage basis. But we’re still very confident it’s accretive overall to our both the GP divisional performance and the total company.
Farha Aslam - Stephens Inc.: And that’s going to still be reported in Grocery Products?
Jeffrey M. Ettinger: Yes that’s correct. And then the new facility that you’re opening up in Grocery Products, it was originally for the Compleats, what products is that producing now? And the costs related to starting up the plant, is that going to flow through your P&L or is that going to be capitalized on the balance sheet?
Jeffrey M. Ettinger: I’ll let Jody handle the second question. On the first question, the plant is scheduled to open in the December, January timeframe. So it hasn’t opened yet. It will still have a significant microwave meal capability in the plant, and we are also looking at putting some canning operations in the facility. I think we talked in previous calls back when Compleats were growing at 30 or 40% clip we had anticipated maybe two full new microwave lines. We’re more comfortable now with one new line and then that gives us an opportunity to take some of the pressure off some of our other facilities because we’ve been enjoying some very significant growth in some of our canned business areas.
Jody H. Feragen: As far as capital versus expense, the majority of the expenditures relating to the plant will be capitalized. But as you begin any new production facility you have hiring people now that are going to start working down at the plant, and those expenses have been and will continue to flow through the Grocery Products segment.
Farha Aslam - Stephens Inc.: Jeff, could you help us understand the Refrigerated Foods business a little bit better? Could you kind of break down the mix of sales in Refrigerated Foods and share with us how a strong or weak cut out margin benefits or hurts that business?
Jeffrey M. Ettinger: Well the mix of sales in a very broad sense would be roughly a third, going through our meat products retail branded items, roughly a third being our food service division and remaining roughly a third being a combination of commodity meat and fresh pork sales.
Farha Aslam - Stephens Inc.: And how does the cut out help or hurt the business?
Jeffrey M. Ettinger: It’s just one of the moving factors that does ultimately impact results. And we’ve talked in past conference calls, people will often focus in on one of the other major moving factors which is hog prices and that’s certainly an important one also. I mean in general cut outs are an area where the processor makes a small return on the assets employed, but obviously we feel its fundamental to our business to be a basic processor participant and have access to our own raw materials so we’re willing to take what are probably sub-standard returns against our normal expectations in that area. What we experienced this year was the market actually going negative and so clearly if that were the long term prognosis for it, one might have to reevaluate that. But over history it typically does generate at least a small margin for the processor.
Farha Aslam - Stephens Inc.: And then how do you price your retail and Food Service products off of that cut out? How do those things change?
Jeffrey M. Ettinger: Well the cut out plays a major role in determining our internal costs but it only has so much effect on price. I mean pricing is really for the consumer based items its’ based on our studies as to what the appropriate price point is for those types of items to consumers. And for some of the more market sensitive items, we’ve talked before about how ham and bacon and fresh pork do trade on a quoted market, its really much more important what are the primal and what are those markets reflecting. And sometimes those markets fully reflect your costs, sometimes they don’t and you’re in different scenarios. Obviously during this last quarter Refrigerated Foods was in a better scenario in terms of the cost input being more favorable versus the price.
Operator: Your next question comes from Akshay Jagdale - Keybanc Capital Markets.
Akshay Jagdale - Keybanc Capital Markets: Just to follow up on Farha’s question about Refrigerated Foods, you know clearly it seems like you know hog prices were down about $13 for hundredweight live this quarter relative to last year. So clearly it seems like lower hog prices are better for people who have a more value added portfolio. I clearly understand that. It was just the magnitude of that sensitivity was probably a little bit higher than I’d expected. If you look at futures today you know hog prices are pointing to about $19 lower year-over-year in 4Q. Am I thinking of that correctly if I think you could have a similar performance in Refrigerated Foods in 4Q if the markets hold where they are today?
Jeffrey M. Ettinger: Well that’s probably not what we’re looking at. I think you may be correct in terms of the magnitude, the sensitivity for part of the performance of Refrigerated Foods. But the big driver this quarter was last year we had that huge spike in export demand and it really drove certain raw materials, we mentioned trim for example which is critical for pepperoni and Spam and other items, up to historically high levels. Those are much more historically normal levels now and so that was a big beneficiary for Refrigerated Foods in Q3. That comparison will be much more normal in Q4. They’re not going to have that ability to create that kind of a gain on the basis of the weak [side] items. So we expect Refrigerated Foods to have a positive quarter but we don’t expect this kind of an increase.
Akshay Jagdale - Keybanc Capital Markets: And then on the turkey side, you know we continue to see very good supply side reaction to some of the negative pricing trends and you know the hatchery data I think last week was again just reaffirming that. But it seems like prices are still not moving much in the commodity market as well as you know retail I guess, breast meat for turkey. Can you talk to that a little bit? And then I have a follow up on the cost side.
Jeffrey M. Ettinger: I think your assessment is correct. The prices have not moved as much as we would have anticipated. I think we talked last year about understanding that the first half of our fiscal year was going to be challenging, both with the cost overhang and with the meat supply overhang and that we didn’t expect, you know markets typically move in the spring and so that was our hope. We were looking at the commodity markets in the spring. They have not responded at a normal level. There turned out to be demand changes as well as the overhang of available meat from some of the other processors has lingered in the market longer than we would have guessed. And so now it’s hard to determine when should we expect a recovery in the commodity side of the market for white meat items. It could yet come this fall, but I could envision a scenario where it wouldn’t come until next spring also.
Akshay Jagdale - Keybanc Capital Markets: And then on the cost side, you mentioned in your press release that costs per ton were done. They weren’t down as much as I expected and I’m wondering how much of that had to do with the reduction in volumes. Can you talk to that and then maybe just give us that sense of cost per metric ton trends for 4Q as it relates to feed costs?
Jeffrey M. Ettinger: The cost per ton and it’s certainly favorable on a year-over-year basis. As we’ve talked about in past calls we do engage in hedging programs and so we’ve had hedges in place during 2009 that have our cost of grain being somewhat higher than what you would model if you were looking at a pure market basis. And so that’s fair to look at it on that basis.
Akshay Jagdale - Keybanc Capital Markets: So year-over-year is it fair to say that your feed costs comparison is the most favorable in 4Q?
Jeffrey M. Ettinger: I think we’re looking at a similar level of kind of value comparison on that side. And then the other thing you pointed out you know was the production change has been important for us. We recognize that these are still historically higher markets for grain. Our team at Jennie-O has done a valiant job of trying to maintain pricing that covers these costs. I think to be honest probably to a little bit of an expense is the value added volumes. I mean we had had a long track record of growing value added volumes at Jennie-O and that’s fallen off now the last couple of quarters. I think we’re trying to get our footing again and learn to live at this new cost level and I think the team will do that. But the volume reduction also did contribute then to the total feed expenditure.
Akshay Jagdale - Keybanc Capital Markets: So going forward to get to more of a normalized EBIT margin on Jennie-O, is it more related to revenue you’d say?
Jeffrey M. Ettinger: I think that’s correct. The long term driver for Jennie-O Turkey Store should be restored growth in value added branded products. And you know while we’re disappointed in the growth in the quarter of the value added items, I do point everyone back to the fact that when all is said and done I mean the division is substantially profitable at a time when many others in the poultry industry have not been able to see their way to that kind of profitability and really the secret if you will is the strength of the brand.
Akshay Jagdale - Keybanc Capital Markets: Jody, just in terms of your cash flow you know it seems like you still have a significant amount of cash on the balance sheet. I know you mentioned that post quarter close you did pay down some more of your short term debt, but you still have almost $2 a share in cash on hand and that’s high relative to history. Can you just talk to you know in terms of priorities where you’re thinking of putting that money? Maybe comment a little bit on the M&A environment because we’ve talked to a few people who are starting to see some openings there.
Jody H. Feragen: Well, actually unfortunately I don’t have any new uses for our cash flow. We continue to look at opportunities to acquire something that would strategically fit with the company. We also have purposely in this past fiscal year slowed down some capital expenditures or delayed them, so we’ll see some of that pick up now in the fourth quarter and moving into 2010. We do look to return to our shareholders. I think you know we’ll take a look this fall at our dividend policy and what we want to do there. The M&A environment continues to be, let’s see, I’ll use one of Jeff’s phrases, “choppy.” There are opportunities. A lot of them tend to be on the more distressed asset sales which might not fit with the portfolios we have but suffice it to say that we have a group of very talented folks that are looking at that diligently, day in and day out.
Operator: Your next question comes from Christina McGlone - Deutsche Bank.
Christina McGlone - Deutsche Bank: I’m sorry if I missed this but Jeff did you say what the volume in Grocery was ex-Carapelli?
Jeffrey M. Ettinger: Flat.
Christina McGlone - Deutsche Bank: The volume as well?
Jeffrey M. Ettinger: Yes, the volume would have been flat.
Christina McGlone - Deutsche Bank: On Compleats I saw it last quarter, it seems like there was more stabilization and maybe some firming but I was just wondering if it did get softer this quarter and is it competition or is it still the value proposition? Is it just the economic environment and what’s your outlook there?
Jeffrey M. Ettinger: Your characterization is correct in terms of we clearly had improved in second quarter and we’re hoping to continue that momentum and we were unable to do that in the third quarter. I think there is an element of the value proposition in play for the category itself. You know when you’re dealing with only 12 week numbers it’s sometimes hard to get a full read on what’s going on in the competitive marketplace. We know anecdotally that the frozen foods segment was down significantly when the recession hit, and that some of the players in that segment have responded but with very aggressive pricing features. We also know generally that one of our sources of volume for our Compleats items is frozen food and so when the frozen food industry starts putting out very hot feature prices that that, we believe, could be having an impact on our category. There’s also you know has been a significant entrant of a new solid player into the category with a slightly different selling proposition than ours. And in the long run we think that’s probably going to be good for the category, to have that kind of attention placed on it. But there’s clearly have been situations on a retailer by retailer basis where we may have lost out on some features as that entity has chosen to push some feature pricing to support their new items.
Christina McGlone - Deutsche Bank: You were answering one of Farha’s questions when you were talking about the processing margin and you said that it’s part of your business model and if the outlook was negative that you would reevaluate it. Now that we seem to have reversed and we have positive processing margins I’m wondering has there been some sort of change, something that was occurring earlier this year and now we’re seeing possibilities so something changed in the market and if the outlook is for continued profitability or how do you see that playing out given the hog supply and potential liquidation efforts?
Jeffrey M. Ettinger: Our best outlook right now would be a return to fairly normalized, modest margin and basic processing. As I was describing we don’t consider that a major driver in the overall profitability of Hormel Foods but we confess that when it turns the other way it puts stress on the business. And so this would be beneficial to us if it stays in this more typical environment.
Christina McGlone - Deutsche Bank: Is there a risk in terms of hog supply down the road because of liquidation or changing strategies among players in the industry?
Jody H. Feragen: I guess I’ll answer that question for Jeff. You know we certainly have not seen the liquidation that we thought would happen at the beginning of the year. Now we have seen numbers move up a little bit in the last few weeks as far as taking some sows, but the harvest for August has been higher than historical. I think long term there’ll be some correction in the industry. We continue to partner with our producers to make sure you know that we have adequate supply for our facilities.
Operator: Your next question comes from Jonathan Feeney - Janney Montgomery Scott LLC.
Jonathan Feeney - Janney Montgomery Scott LLC: Wanted to dig in on Refrigerated Foods a little bit. I mean, if you look at what happens typically seasonally with hog prices and I know the mix of the business well, at the margin everything gets better as hog prices fall. And if you look at where we are what I came up with for next quarter it seems like you’re asking me by keeping guidance to sort of lower that. And I don’t see how that works. It seems like Refrigerated Foods is set up for an absolutely blockbuster next quarter. Are there other moving pieces that you know maybe Grocery Products or something that we’re have some reason to just be cautious about or is it just kind of wait and see saying on the Refrigerated Foods side?
Jeffrey M. Ettinger: Jody’s going to help me with the dynamics of Refrigerated sell. But I can give you a general picture you know as I mentioned in my introductory comments our expectation for the quarter and the overall business is to have an increase in operating profit during the quarter, not as significant as what we saw in the third quarter. And at this point our expectation is it would be fairly balanced among the different quarters. Excuse me, among the different segments. We expect Grocery to maintain the nice momentum that it’s had now for several quarters. We expect Jennie-O and Refrigerated to have up quarters but not be big, major double digit increases. And we’re certainly hopeful that we’re going to see a return to gains in Specialty and International as well next quarter.
Jody H. Feragen: And I guess if you’re looking at a year-over-year improvement type scenario, third quarter 2008 for Refrigerated were as Jeff mentioned before pretty tough times when some of the export and demand really drove those input costs to the primal values to historically high levels. That moderated in the fourth quarter of 2008, so the comparison year-over-year won’t be as strong.
Jonathan Feeney - Janney Montgomery Scott LLC: I guess the only other thing I had is just to dig into that interest income line. Other than the rabbi trust were there any other major shorter drivers of the change in that investment income line?
Jody H. Feragen: No. I mean the only other thing that goes in there is short term cash management things. And I believe last year we had a investment write down to the tune of $2.5 million so that would be part of the comp. The big driver is the rabbi trust.
Jonathan Feeney - Janney Montgomery Scott LLC: And specifically can you say how big the rabbi trust contribution was?
Jody H. Feragen: Oh, year-over-year improvement for the third quarter was in the 10 plus million.
Jeffrey M. Ettinger: Operator, do we have another question? Hello?
Operator: I do apologize, gentlemen. Just one moment please. Your next question comes from Ann Gurkin - Davenport & Company LLC.
Ann Gurkin - Davenport & Company LLC: I was wondering if you could comment on areas in which you’d like to expand. I guess during the quarter you entered into a partnership with MegaMex. Is there any other update there of kind of expansion opportunities?
Jeffrey M. Ettinger: Well I mean as Jody talked about earlier we certainly understand we have both the business platforms and the capital availability to expand on an M&A basis. We confess to have been much quieter over the last couple of years than we were during a stretch prior to that. It hasn’t been deliberate, Ann, lately to be quieter and it wasn’t deliberate to do as many deals in such a short time either on that side. The deal flow just kind of works that way sometimes. I think we talked before about the opportunities that we see sometimes from family owned businesses can take years worth of discussions to reach the right point in operation and then deals that come through more of the investment banking often are quicker than that. MegaMex certainly represents an investment in an area that we’ve shown that we’re committed to, ethnic food. We think the scaling up of MegaMex, you know it’ll be a $200 million sales entity right out of the gate and we think it can accelerate the growth of Grocery Products by being in robust categories and by really allowing us to provide a full portfolio of products in that area. We do have other ethnic items in the portfolio and we certainly keep our eye out for both external and internal opportunities to grow those. We’ve done a very nice job of identifying the change in consumer dynamics in the deli case. You know behind the glass, deli is still important but the grab and go items have become more and more important and we have a number of examples of where we’ve done well with those, ranging from Party Trays to our Di Lusso Deli company items to our rotisserie items from the Jennie-O Turkey Store operation. And so that’s another good area of growth. In the long run, I fully expect that we will return to growth in Food Service. Our strategy of offering great convenience, flavor and value to Food Service operators to make their lives easier and to stimulate their customers has worked for us for 20 years. The volumes are off right now in this environment, but in the long run that’s going to be a great growth vehicle for Hormel.
Ann Gurkin - Davenport & Company LLC: Continuing on Food Service, as you look out the next six to nine months or so, what is your outlook for Food Service? Do you see it staying like it is, getting weaker, getting better? Any commentary?
Jeffrey M. Ettinger: I guess we’re kind of building our business around it remaining more the same than not. I mean we hear some indications of improvement and sort of general daily dining at certain of the operators, but the travel side of the business, whether its leisure travel or business travel is still very soft and doesn’t show a lot of signs of changing here in the very near future.
Ann Gurkin - Davenport & Company LLC: And then switching to hog, do you anticipate any further hog production cuts?
Jody H. Feragen: Excuse me, from the producers?
Ann Gurkin - Davenport & Company LLC: Yes.
Jody H. Feragen: Boy, if August is any indication there seems to be a large supply. I did indicate to an earlier caller that you know the sow harvest numbers have shot up. Now whether that remains as trend in the last next couple weeks we’ll have to see, but I don’t foresee any shortage in the fall.
Ann Gurkin - Davenport & Company LLC: Can you give the average live hog price for the quarter?
Jody H. Feragen: The average for Hormel Foods was, oh, I don’t even know that. You know the market price for the current quarter was about $34 to $36.
Jeffrey M. Ettinger: Just over $36 Ann.
Ann Gurkin - Davenport & Company LLC: That’s great. Thank you all.
Jeffrey M. Ettinger: Live hundredweight.
Operator: Your next question comes from Timothy Ramey - D. A. Davidson & Co.
Timothy Ramey - D. A. Davidson & Co.: Jeff, you’re in a good position to kind of look at a range of products from sort of value to higher value added like you know the Specialty Foods or you know thinking about the Jennie-O products and so on. Can you just kind of put on your prognosticator hat to think about where we’re at in this consumer trade down thesis or is the consumer still kind of in their bunker and we should expect more of the same? Or are you starting to see some unthawing of sort of more premium products?
Jeffrey M. Ettinger: Well we’ve seen a mixed record really almost throughout the recession you know to some level of surprise, to be honest with you. I mean we’ve had tremendous success with Party Trays quarter after quarter after quarter on an item that’s priced over $10 a tray. The Di Lusso Deli Company items are premium items. Natural Choice is competitive within its category. It’s set. They’re not the low end items within that. So there are areas where I mean the value is in the eye of the beholder. If the items are meeting the needs consumers are looking for, then they’re still gravitating to those. That being said we still have to keep our eye on the significant growth that’s been going on in private label. It’s happened in some of our categories as well as other people’s categories. As we’ve talked about in prior calls we’re making as strong an effort as ever to make sure that we keep our brand out there in front of consumers and important and what seems to be happening in the marketplace is that the growth of private label is just sort of accelerating the stores move to leading brands and private label and maybe not a whole lot else. But in our categories we are benefited by being the leading brands. And we intend to make sure we stay that way.
Timothy Ramey - D. A. Davidson & Co.: Are you picking up any private label business? Is that in the business plan at all or are you not specifically not pursuing it right now?
Jeffrey M. Ettinger: We did grow some private label in our canned meat franchise the last couple of quarters. We obviously historically had the packaged gelatin business. We’re open to looking at it on a strategic basis. We like to make sure we talk with retailers about synergies and logistics, opportunities to combine our branded items with private label. You know where we’ve continued to draw the line is that we don’t private label our most innovative new items. We don’t want to create a private label category against ourselves. We need to give our marketing teams a very strong good head start in creating a strong branded franchise in those areas. And so there are a number where we say, “No, we’re really not interested in doing this.” High pressure pasteurization items would be one area we’ve mentioned in the past that we feel we’ve built some proprietary expertise in that area and that we’re you know not really interested then in being a private label supplier to compete against ourselves.
Operator: Your next question comes from Farha Aslam - Stephens Inc.
Farha Aslam - Stephens Inc.: When you responded to Ann’s question I didn’t know if the $36 live price was your price for the quarter or the current price.
Jeffrey M. Ettinger: That’s current.
Farha Aslam - Stephens Inc.: And your price for the quarter?
Jody H. Feragen: You know what, Kevin will have to follow up with you on that because I’ve gotten out of the hog prognosis business and I don’t have that. We’ll get that for you.
Operator: Thank you. Your next question comes from Akshay Jagdale - Keybanc Capital Markets.
Akshay Jagdale - Keybanc Capital Markets: Jeff, just wanted to touch a little bit more on the turkey side and I know you’ve said that the pricing side and demand hasn’t recovered relative to where supply is as you would have wanted to see it. But can you just talk about how much demand could be down and is it retail food service? It seems like its major retail because there’s hardly any food service in turkey, but can you just talk to what’s happening in demand because we’re still only seeing supply come down almost 10%. That’s what the exit data is saying.
Jeffrey M. Ettinger: Yes I mean there’s probably a little more demand in Food Service than you might think in the sense I mean it’s not the classic fast food, burger places, etc. But there are a lot of sandwich operations not just the major Subways and Quizno’s but boy when you get into the non-commercial side of the business where the [Dexo’s] and Aramark’s and other companies play, they feed a lot of sandwiches and turkey is the leading protein when it comes to sandwiches, you know neck and neck with ham and we’re fortunate obviously to be in both of those businesses. Overall that picture is clearly soft just as many other things are soft in Food Service so that’s been contributing to the diminution in demand that’s going on in the turkey segment. Whole birds has been something that frankly has been more of a systemic, kind of year after year it’s gradually kind of shrunk a little bit. People aren’t buying as many. They’re not buying as large. They’re not having quite as large of gatherings and we participate in the whole bird business but don’t see that as a major driver of our results in that area. The key areas for us are the branded retail franchises and that was the area I was speaking to earlier that we had enjoyed solid growth, kind of year after year after year. And that’s where in the last couple of quarters we’ve seen that slow down quite a bit and we’re just kind of trying to get our hands around well how much is price, how much is that we need to kind of reconfigure our message to consumers. We are going to be launching a new ad campaign for Jennie-O right here in the fourth quarter and that’s certainly part of that effort to make sure that we restore the growth of the value added item.
Operator: Thank you. There appear to be no further questions at this time. Please continue with any other points you wish to raise.
Kevin Jones: Thank you for joining us today everybody. Feel free to call me with any further questions offline and have a great day. Bye bye.
Operator: Ladies and gentlemen, this concludes the Hormel Foods third quarter earnings conference call. Thank you for participating. You may now disconnect.